Operator: Good day, and thank you for standing by, and welcome to Appian Fourth Quarter 2022 Earnings Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Sri Anantha, Senior Director of Finance, Investor Relations. Please go ahead.
Srinivas Anantha: Thank you, Operator. Good afternoon, and thank you for joining us to review Appian's Fourth quarter and full year 2022 financial results. With me today are Matt Calkins, Chairman and Chief Executive Officer; and Mark Matheos, Chief Financial Officer. After prepared remarks, we will open the call for questions. Today, you will want to follow along with the earnings presentation. You can download it from the main page of our investor site at investors.appian.com. During this call, we may make statements related to our business that are forward-looking under federal securities laws and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These include comments related to our financial results, trends and guidance for the first quarter and full year 2023, the benefits of our platform, industry and market trends, and our go-to-market and growth strategy, our market opportunity and ability to expand our leadership position, our ability to maintain and upsell existing customers, and our ability to acquire new customers. The words anticipate, continue, estimate, expect, intend, will and similar expressions are intended to identify forward-looking statements or similar indications of future expectations. These statements reflect our views only as of today. They do not represent our views as of any subsequent date. They are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of the material risk and other important factors that could affect our actual results, refer to our 2022 10-K and other periodic filings with the SEC. These documents are also available on our Investors section of our website. Additionally, non-GAAP financial measures will be discussed on this conference call. Refer to the tables in our earnings release and the Investors section of our website for a reconciliation of these measures to their most directly comparable GAAP financial measures. With that, I would like to turn the call to our CEO, Matt Calkins. Matt?
Matthew Calkins: Thanks, Sri, and thanks, everyone, for joining us today. In the fourth quarter of 2022, Appian's cloud subscription revenue grew 29% to $65.8 million. In constant currency, the growth would have been 32%. Subscriptions revenue grew by 23% to $93.2 million. Total revenue grew 20% to $125.8 million. Our cloud subscription revenue retention rate was 115%, and our adjusted EBITDA was a loss of $24.8 million. For the full year, Appian's cloud subscriptions revenue grew 32% to $236.9 million. Subscriptions revenue grew 29% to $340.2 million. Total revenue grew 27% to $468.0 million. Our adjusted EBITDA was a loss of $76.0 million. These results met or exceeded our guidance. We continue to expect a recession in 2023, and we believe that Appian will be less affected by it than other comparable firms. Appian's value proposition emphasizes efficiency, productivity, time to value and ROI, the very things buyers seek in a downed economy. Speaking of productivity, I think there may be a revolution on the horizon. Last year's productivity growth in the U.S. was negative 1.3%, the worst result since 1974. This reflects changing post COVID labor patterns but also a certain corporate indifference to the topic. For years now, businesses haven't had to focus on productivity, since money was cheap and labor was plentiful. Now that money is expensive and labor is tight, they'll return to the topic in earnest, and there is a surprise waiting for them. The science of productivity enhancement has come a long way in the past few years. Software is ready to be more than a tool to help people do work. Software is ready to do the work for us. That's the revolution. That's also the next shoe to drop on AI. Right now, the narrative on AI is that it makes a good search engine and maybe students will use it to cheat on their tests. In 6 months, the narrative will be that AI is affecting margins, AI is affecting jobs, AI is affecting customer satisfaction. After decades of development, AI has still hardly moved the corporate efficiency needle, but it's about to. And so will the other types of software that do the work like Rules and RPA. And so particularly, will the technology that coordinates all these digital workers, namely process automation, in which Appian is a leader. Our market will continue to evolve toward a larger mission. At the time of our IPO in 2017, we sold workflow. Now we sell process automation, an end-to-end platform covering every stage in the life cycle process. We handle everything you ever need to do with a process, discover it, design it, execute it, automate it, evaluate it, and optimize it over time. Not just the workflow that routes the work, but now also the technologies that do the work, like RPA and AI, plus the process mining technology that evaluates process efficiency, plus the data fabric that connects your process to information across the enterprise. Here's an example of a modern process automation customer. This is a top life sciences company, one of the world's largest and an Appian customer for about a decade. Our platform automates its corporate function, medical devices, pharmaceutical and supply chain processes. It deployed a mission-critical Appian app in 2018 to manage regulatory practices globally. That app has grown over time. It now manages tens of thousands of cases annually in 100 countries. In Q4 of 2022, the firm deployed Appian process mining to identify ways to simplify operations. And in just 8 weeks, it discovered insights that can save hundreds of thousands of labor hours annually. Last quarter, I mentioned I keep sharing a set of metrics that track business health during a recession. You'll see these charts in our earnings presentation, starting on Slide 4. I won't go through them all again, but I will pause to note just a couple of things. First, our cloud gross renewal rate, which held constant at 99% on each of the 4 quarters of the year. This is a best-in-class rate. It's a spectacular rate. I'll also note our steady growth in customer ARR cohorts, especially large ones. Most existing customers bought more software last year, including 2/3 of our 7-figure customers. Our big customers are getting bigger. I'll share 2 examples. First, the global analytics provider and 7-figure ARR customer uses our platform to automate its market research processes. One of its critical app consolidates the work streams of RPA AI and researchers into a single workflow so the company can publish content. This app boosts employee productivity by 50%, 5-0. Last quarter, it purchased thousands of additional licenses to add more users and automate new workflows for its market intelligence and commodity insights groups. Second, a top international grocery retailer has been an Appian customer since 2019. It manages supply chain logistics on our platform. In Q4, we expanded into one of its subsidiary groups, a retail pharmacy chain. This new client purchased nearly $1 million in Appian software licenses to manage inventory. Before Appian, it lacked the way to track prescription drug expiration dates, losing tens of millions of dollars annually on expired products. Now the customer can identify and move short-term goods to stores with lower stock. It expects to reduce its cost of wasted products by 30%. Appian's new logos continue to be high quality. They make large software purchases for important use cases. For example, a top international specialty insurer became a new logo in Q4. It purchased over $1 million in software licenses to automate 2 distinct use cases. First, it will deploy the Appian Connected Claims solution to manage tens of thousands of claims annually. Second, it will build a customer operations hub with the help of an Appian partner. Before Appian, the group worked through disjointed channels because it lacked the tools to coordinate work across teams. Now Appian will integrate with the customer's existing CRM system and consolidate tasks into a single workflow. We also landed a luxury packaging manufacturer and distributor as a new logo this quarter. This customer is launching a new business line and purchased nearly $1 million in Appian licenses to automate orders and manage client relationships. Clients will make purchase requests and track the ongoing status of their orders through an Appian portal. Back office employees will use Appian to fulfill requests and initiate revenue recognition. Our platform will secure the company's profit margin as it scales operations by 30%. Appian's key verticals continue to be growth drivers. Year-over-year, Q4 subscriptions revenue for the U.S. Federal Government and Life Sciences grew 38% and 39%, respectively. I'll share a customer story from each vertical. First, a U.S. federal health agency that supports national security became a new Appian customer this quarter. It procures over $1 billion in medical supplies annually. It needs to replace an inflexible and expensive procurement system. In Q4, the agency purchased several solutions in our government acquisition management, or GAM, suite. It will use Appian to automate various workflows like requirements gathering and drafting request for proposals. The agency became a 7-figure ARR customer with this first deal. Top global pharmaceutical company has automated a number of core processes with our platform. In Q4, it purchased an additional 7-figure deal to deploy an app that tracks manufacturing deviations globally. This is a highly regulated process. The customer is required to report these cases to a third-party governing body. We won this competitive deal because our platform helps the customer meet a strict deadline and improve operational efficiency by 65%. Next, I'd like to announce the addition of Shirley Edwards to the Appian Board of Directors. Shirley has been a partner at Ernst & Young for 2 decades and most recently, the firm's global client service partner. She has deep experience, advising corporate boards and management teams of large multinational companies. We are very pleased to welcome Shirley to our team. That's almost everything. Before I conclude, though, I want to briefly discuss Appian's stance on investment in the business. In 2023, we are once again planning negative EBITDA, albeit with a narrower margin than last year. We understand that today's high interest rates make near-term profits more valuable and future growth less valuable. Investors are right to question companies about the merits of continued investment for further growth. We've considered this deeply, and we believe that continued investment for growth is the right decision for our shareholders. At Appian, we pride ourselves on our long-term outlook. And, we believe the most important time to lengthen our time horizon is when our competitors are shortening theirs. We note the large and growing size of our market, the technological advantage of our platform, the positive traction we're seeing from customers and partners, and the very attractive nature of our historical subscription revenue stream, 90% gross margin, 99% cloud gross renewal rate. We believe continuing to invest remains the right decision for our business and shareholders and will ultimately lead to much higher returns. That said, we understand the importance of disciplined growth and would like to assure our investors that we are committed to growth and scrutiny. We aim to steadily improve our margins through 2023 and beyond. Now I'll hand the call to Mark for a deeper look at our financials.
Mark Matheos: Thanks, Matt. I'll review the financial highlights for the quarter, and then we'll provide guidance for Q1 and the full year 2023. Total revenue, cloud subscription revenue and non-GAAP EPS were above guidance, while adjusted EBITDA was at the top end of our guidance range. We also saw continued healthy contribution from existing customers and strong growth from key industry verticals. Let's go into the details. Cloud subscription revenue was $65.8 million, an increase of 29% year-over-year and above guidance. On a constant currency basis, cloud subscription revenue grew 32% year-over-year. Total subscriptions revenue was $93.2 million, an increase of 23% year-over-year. On a constant currency basis, total subscriptions revenue grew 26% year-over-year. Professional services revenue was $32.5 million, an increase of 11% year-over-year. As previously noted, Appian's professional services are complementary to partner offerings. In certain cases, Appian supports large programs that are primarily run by our partners. Long term, we continue to believe partners will drive most of our growth. As a result, we expect professional services revenue to continue to decline as a percentage of total revenue. Subscriptions revenue was 74% of total revenue compared to 72% in the year ago period and 73% in the prior quarter. Total revenue was $125.8 million, an increase of 20% year-over-year and above our guidance range. On a constant currency basis, total revenue grew 23% year-over-year. Our cloud subscription revenue retention rate as of December 31, 2022 was 115%, consistent with the rate in the prior quarter. As a reminder, we continue to target a cloud subscription revenue retention rate of 110% to 120% on a quarterly basis. Our international operations contributed 34% of total revenue compared to 36% in the year ago period. Our cloud software, net new ACV bookings, were approximately 80% of the total net new software bookings in 2022, consistent with last year's mix. Now I'll turn to our profitability metrics. Non-GAAP gross margin was 73%, compared to 74% in the year ago period and 73% in the prior quarter. Subscriptions non-GAAP gross profit margin was 90%, consistent with the year-ago period and prior quarter. Professional services non-GAAP gross margin was 27%, compared to 32% in the year-ago period and 27% in the prior quarter. As noted on prior earnings calls, we continue to invest in customer success management. These advisers help our customers achieve the most from our technology and increase adoption of our platform. As a result, professional services non-GAAP gross margin should decline to the low 20% range in 2023 and beyond. Total non-GAAP operating expenses were $119.1 million, an increase of 33% from $89.5 million in the year ago period. Adjusted EBITDA loss was $24.8 million versus our guidance of a loss between $29 million and $24 million compared to an adjusted EBITDA loss of $10 million in the year ago period. In the fourth quarter, we had approximately $8.5 million of foreign exchange gains compared to $500,000 in foreign exchange gains in the same period a year ago. We don't forecast movements in FX rates. Therefore, they aren't considered in our guidance. Non-GAAP net loss was $20.6 million or $0.28 per basic and diluted share compared to non-GAAP net loss of $11.6 million or $0.16 per basic and diluted share for the fourth quarter of 2021. This is based on 72.7 million basic and diluted shares outstanding for the fourth quarter of 2022 and 71.3 million basic and diluted shares outstanding for the fourth quarter of 2021. As noted above, fourth quarter 2022 non-GAAP net loss was aided by $8.5 million in foreign exchange gains or a gain of $0.12 per share, which was not included in our original guidance. Turning to our balance sheet. As of December 31, 2022, cash and cash equivalents and investments were $196 million, compared with $168 million as of December 31, 2021. For the fourth quarter, cash used by operations was $12.6 million versus $19.4 million for the same period last year. Total deferred revenue was $200.3 million as of December 31, 2022, an increase of 31% from the year ago period. As we have stated on past calls, the majority of our customers are invoiced on an annual upfront basis, but we also have large customers that are billed quarterly or monthly. Due to the variability of our billing terms, changes in our deferred revenue are generally not indicative of the momentum in our business. I'll now recap our full year 2022 results. Cloud subscription revenue was $236.9 million, representing 32% growth year-over-year. On a constant currency basis, cloud subscription revenue grew 35% year-over-year. Total subscriptions revenue for the year was $340.2 million, an increase of 29%. On a constant currency basis, total subscriptions revenue grew 32% year-over-year. Professional services revenue was $127.8 million, an increase of 21% compared to 2021. Total revenue was $468 million, up 27% compared to 2021. On a constant currency basis, total revenue grew 30% year-over-year. Adjusted EBITDA loss was $76 million compared to $37.9 million loss in 2021. Non-GAAP net loss was $89.2 million in 2022 or a loss of $1.23 per basic and diluted share compared to non-GAAP net loss of $48.3 million or a loss of $0.68 per basic and diluted share for 2021. This is based on 72.5 million and 71 million basic and diluted shares outstanding for 2022 and 2021, respectively. For the year ended December 31, 2022, cash used in operations was $106.6 million versus $53.9 million for the same period last year. In 2022, litigation expenses were $22.9 million compared to $16.4 million in 2021. We expect litigation expenses to come down materially in 2023. We continue to believe cloud subscription revenue is a better indicator of our business momentum than billings or remaining performance obligations or RPO. The latter metrics can fluctuate based on the timing of invoicing, seasonality of on-prem license revenue and the duration of customer contracts. The true scale of the business is represented by subscriptions revenue, which includes support in all software subscription revenue regardless of whether the customer deploys to the Appian cloud, their private cloud or on-prem. Now I'll turn to guidance. For the first quarter of 2023, cloud subscription revenue is expected to be between $67 and $69 million, representing year-over-year growth of 26% and 29%. Total revenue is expected to be between $130 million and $132 million, representing year-over-year growth of 14% to 16%. Adjusted EBITDA loss for the first quarter of 2023 is expected to be between $21 million and $17 million. Non-GAAP net loss per share is expected to be between $0.33 and $0.27. This assumes 72.8 million basic and diluted weighted average common shares outstanding. For the full year 2023, cloud subscription revenue is expected to be between $294 million and $296 million, representing year-over-year growth of 24% and 25%. For the full year 2023, total revenue is expected to be between $530 million and $535 million, representing year-over-year growth of 13% and 14%. Adjusted EBITDA loss is expected to be between $75 million and $70 million. Non-GAAP net loss per share is expected to be between $1.14 and $1.07. This assumes 73.2 million basic and diluted weighted average common shares outstanding. Our guidance assumes the following: First, Q1 professional services revenue will be relatively flat on a sequential basis. We assume services revenue will decline at a single-digit rate year-over-year in 2023. We continue to expect partners to perform more services work. In situations where they help us close the new logo, partners generally lead the projects. Second, on-prem license revenue seasonality will make Q1 our strongest quarter and Q2 our weakest quarter of the year. Hence, you should expect on-prem license revenue to be up sequentially in Q1 and down sequentially in Q2. Third, Q2 adjusted EBITDA loss will be higher than Q1 adjusted EBITDA loss. This is due to the combination of on-prem license seasonality and the cost of running our global user conference, Appian World. We continue to maintain greater scrutiny of any discretionary related expenses. Fourth, capital expenditures will be between $3 million and $4 million in Q1 and between $12 million and $14 million in 2023. This is primarily related to build out of additional office space. Finally, our guidance assumes FX rates as of February 15, 2023. In summary, we are excited about the growth opportunities ahead of us. Our outlook incorporates an uncertain macro environment in the year ahead. We're keeping a close watch on key forward-looking business indicators such as new bookings growth, pipeline conversion, sales rep productivity and sales cycle time. We believe we can quickly calibrate the model should the need arise. Before we wrap up, I'd like to let you know that we are planning to hold an Investor Day in conjunction with Appian World being held from May 1 to May 3, we'll provide additional details soon. I look forward to seeing you all in person. With that, let's turn it over to questions.
Operator: [Operator Instructions]. And our first question comes from Sanjit Singh from Morgan Stanley.
Sanjit Singh: Congrats on the solid end to 2022. Matt, I was wondering if you can give us a sense around the sort of factors that drive your confidence for relative resiliency versus your peers. It seems like a lot of companies that have exposure to tech or consumer discretionary companies are seeing growth being impacted. Could you walk us through kind of the demand trends you're seeing across your major verticals, health care, financial services, government, any others you want to call out? And sort of speak to some of the demand and pipeline trends that you're seeing. I think that would be really helpful in terms of contextualizing your guidance.
Matthew Calkins: Yes. Well, thank you, first of all. And I think the quarter speaks to the steadiness that we're observing in the business. It doesn't seem like we've got a rocky ride. And I can tell you that from our insight into the pipeline and other contributory factors that we see a steady situation. Now you'd like details there. And so let me say that our value proposition is easy to pivot toward the interests of the CIO who tells us that they wish to cut costs, consolidate vendors, reduce risk and accelerate time to impact. We speak exactly to that person. That person is looking for safety. They're looking for an industry leader in an industry that they know could make a difference for them. They look to great reviews. They look to successful customer experiences. They want a solution because it's proven to work in the past, and we're relying more on solutions than we used to. They want to see the team and whether it's our partners or our own deployment team or, even better, the 2 of them together, we can present a reliable team that speaks their language, their industry language, and has done very similar work in the past. And that's the benefit of our legacy in this market space and the experience that we've accumulated. For all of these reasons and because we're having these conversations successfully, I think that the stability that this quarter represents is what I see for the near future as well.
Sanjit Singh: Understood. That's helpful. And then if I could sort of visit the topic around investments versus near-term margins and profitability, you're squarely coming on the side of continuing to invest as the sort of way to drive value over the longer term. When I look at the sort of financial profile of the company, I think the guidance is sort of calling for mid-teens overall revenue growth, the losses are narrowing. But in terms of anchoring to a longer-term model, is there anything you can share in terms of about when you get to profitability? And ultimately, what type of margins can this business generate over the longer term so that investors can sort of anchor their -- or make the sort of valuation assessment on where this business is going over the longer term?
Matthew Calkins: Yes, that's right. Well, I think it would be premature to put out an estimate for margins or free cash flow, right, in the long term. I think that even in the short term is highly variable. We have gone out of our way in the estimates, projections we've made for this year, to accommodate higher variability and economic factors, the macro variation that we see. And so I don't want to get ahead of ourselves in forecasting. I believe that we have structural advantages. And I -- that's our north star here. It's not a specific figure. It's not a projection for what the economy is going to look like in Q4. It's structural advantages, ways in which we think we have an edge on the competition and a belief that this is an emerging market. And if we have that edge in a valuable market, we want to develop our position even if we don't have a perfect prediction for where the economy or the margins are going to be a year hence.
Mark Matheos: And we do -- we did -- in our last Investor Day, we did talk about our long-term margins. You can refer back to that presentation, we updated those but it wasn't with any more specificity, I think, than Matt said. But we do have some penciled in long-term view, of course, for your reference.
Operator: And our next question comes from Kevin Kumar from Goldman Sachs.
Kevin Kumar: I just wanted to double click on guidance. You've given some cautious commentary on macro. And I believe you've also added, I think, over 100 sales reps last quarter. So just kind of thinking through kind of the different variables there, and how are you thinking about ramping sales productivity in the midst of maybe kind of weaker macro? Kind of how are you thinking of these variables in the guide?
Matthew Calkins: Yes. Well, first of all, we have been saying for a while that we believe the recession was on the way. I think it was important to say that to put our investment plans into context. These are not sunny day plans. We are cognizant of the economic situation that we're wrestling with this year. And under that realistic/pessimistic outlook, we feel that these are the right investment plans. So that's the point that I mean to make. When I talk about our bearish outlook on the macro situation. It's to put our investment plans into context to understand. And then as for the growth in reps, I can't comment on the size. I can't speak to or confirm your assumption there. We have grown overall reps in the last few quarters, and we grow -- we are growing also right now. We have open positions and we are hiring. But I don't want to endorse that figure specifically.
Kevin Kumar: Got it. And then maybe one on kind of your vertical strategy. You recently talked about connected underwriting, the new solution that you came out with. And I believe you also announced a partnership with Guidewire. So maybe help frame the opportunity in the insurance vertical and kind of the traction you're seeing there?
Matthew Calkins: Yes, I did. I mentioned that solution. And I also mentioned the government acquisition management solution. And I believe that in a time in which buyers seek safety, a solution is a safer offering than a platform. And so this is part of the pivot that you're observing in our business toward a reassuring sale, a reliable, high profitability short time to value kind of a sale. And the solution is reassuring in these regards. And I think it actually addresses a much broader market than a platform does. So I'm really excited about our ability to go to market with a packaged solution or with a known entity like Guidewire, a highly credible known entity. I think that it's the next natural evolution of our business and accelerated under these economic conditions, we should be playing that card, and we are playing it.
Operator: And our next question comes from Derrick Wood from Cowen and Company.
Andrew Sherman: It's Andrew on for Derek. Mark, just wondering what the FX impact to the cloud sub guide is for the quarter and the year?
Mark Matheos: Yes, it was 3%. It's -- are you talking about the impact that we had for results or on the...
Andrew Sherman: No, in Q1 and full year guidance.
Mark Matheos: No. So we don't actually factor in any more movement. We're using FX rates as of February 15. So we're not facing any more headwinds, yes.
Andrew Sherman: Okay. And then Matt and/or Mark, last quarter, you said sales cycles were pretty much unchanged from prior quarters. How did those track this quarter? And what are you expecting for the next couple of quarters?
Matthew Calkins: Yes. Well, we see no change in sales cycles that we can observe, so nothing material. And therefore, we don't forecast anything for future quarters. And I don't mean to say that nothing slipped out of the quarter because something always slips, right? You always get a few deals that extend. But we're seeing a typical amount and it's not enough for us to presume that there is any movement overall on our pipeline.
Andrew Sherman: Great. And one last one I could sneak in. The Appian Government Summit in November, how much of the lead generation event is that? And any interesting takeaways you got from that and how that helps build pipeline for this year?
Matthew Calkins: Okay. Most of our events are for cultivating existing customers and expanding within logos that we've already got. And so that's typically the outcome. It will help us build pipeline that's generally radiation pipeline. Maybe we do a little bit better on the government because a lot of our prospects are local because Appian is based near Washington. But for the most part, that new logos are not the purpose. We're just trying to strengthen our relationships with the customers we've got.
Operator: And our next question comes from Jacob Roberge from William and Blair.
Jacob Roberge: Congrats on solid results. Matt, you referenced earlier factoring a higher variability in the guidance for the next year. Could you put a finer point about what you baked in the guidance from a macro perspective? Are you assuming that demand stays the same as what happened in Q4? Are you expecting it to get slightly worse throughout 2023?
Matthew Calkins: We are allowing for the possibility that there will be a macro downturn, the effects of which are felt here. I think that everyone is allowing for that possibility. And I think it's prudent that we do so as well.
Jacob Roberge: Great. And then could you give us an update on the lawsuit with Pega? I know there's been some back and forth between you 2 in the news, but would love to get some more color on how that process has been tracking over the last month or 2?
Mark Matheos: Well, the process continues. There have been dueling web pages. You -- probably everyone on this call has seen the opposing statements on each other's web page. And soon, there's going to be dueling statements for the next round of appeal. Other than that, I can't comment on it. I do believe it's a factor in some sales, let me say that. I do believe that customers are beginning to notice and the word is getting out and customers are reaching their own judgment which, of course, they should do based on all facts available. But this is an ongoing process.
Operator: And our next question comes from Joe Meares from Truist.
Joseph Meares: In the fourth quarter, the sequential growth in sales and marketing was pretty much in line with the last 3 years. I think it grew about 16%. But the G&A was flat versus typically being up in the low teens percentage. So I'm just wondering if we should expect this type of spending pattern in sales and marketing and leverage in G&A as you move through 2023.
Matthew Calkins: We are proceeding in 2023 with a pattern of growth with scrutiny, as I noted in my opening remarks, which is to say we are growing, we are hiring, we are investing. But we are also applying a high level of expectations to all expenditures that we make and continuing only those investments that meet our high threshold. And so you'll probably see some G&A or marketing or other expenses falling off of the expense sheet because we didn't get the returns we wanted out of them. And we're going to be tough about that this year.
Joseph Meares: That's super helpful. And then just from a customer standpoint, I think I counted 4 new 7-figure deals in the prepared remarks. I'm just curious if there were any others? Did that number -- was that number up or down sequentially? And then if you could -- I think at the end of the year, you usually give us like a total number of 7-figure customers. Just curious if you can share that?
Matthew Calkins: Yes. It's in the slides. Let me tell you which slide in the packet I should direct you to in order to see the customer count, it is Slide 6. It's titled Annualized Recurring Revenue, and we have 4 charts on this slide. The favorite is the count of customers on the lower right, which are $1 million or larger on an annual basis. And that one ticked up nicely. We didn't get as much growth in the smaller customers. And I think that, that shows us where we need to put additional focus. We're doing well, getting our big customers to grow, and we're going to put a little more emphasis on bringing in more entry level.
Operator: And our next question comes from George Kurosawa from Citi.
George Kurosawa: George on for Steve Enders. First one, Matt, you talked a little bit about AI kind of in some level of a hype cycle right now. I'd love to hear just how you're thinking about that technology. Are you thinking about it as a kind of new leg of the stool for the company along with RPA, process mining, process automation? Or is there some sense in which kind of this new generative AI is something new and different and may even come to replace some of these other technologies over time?
Matthew Calkins: Yes. Well, AI and its emergence over the past 12 months as something popularly understood to add value to work is going to continue to shape process automation as a market. After all, process automation is about harnessing the software that does the work for us in addition to delegating work to people. And AI is going to be one of the primary types of technologies that does work for us. So there's a lot to explore about this. And AI is broken through in a big popular way lately. And I think there's still vast misunderstanding about where it can really add value. And I'll repeat my belief, long-standing belief that AI belongs lower in the stack than most people believe. And I suppose people are even further afield from my view after the last few months of hype. AI is a good advisory detecting, quantifying technology, is not fit for making decisions and shouldn't be put in a position like that. I think AI is going to be at its greatest value, let me be clear about this. It's going to be at its greatest value when it is coordinated to other decision-makers which is to say when work is routed and balanced amongst a portfolio of decision-makers of which AI is only one and not the final decision maker. If you believe that, then you believe that process automation is a really essential part of leveraging AI as a valuable part of work because you can't stand alone. You can't just delegate your decisions to AI, you need to balance it, check its work, review it, approve it, that sort of thing, which means that AI is part of the orchestra and the orchestra needs a conductor. So I think that in the end, AI adds a lot of momentum to the process automation industry, and I think that it's going to elevate us. But in the meantime, people have to shake out their understanding of what AI can really do. And we'll have to teach people that it's part of the portfolio and not a final answer.
George Kurosawa: Got it. Got it. Very interesting stuff. One just quick follow-up. The revenue retention rate came in pretty solid at 115%. And I'm just wondering how you guys are thinking about that mix of growth from new logos versus expansion. Is there any sort of change to the strategy now that Chris Jones has been in place for a couple of quarters now?
Matthew Calkins: Yes. Yes, we're happy to see that, that's steady. Of course, we're all watching to -- these renewal metrics, net renewal, gross renewal, to see if there's some kind of evidence of macro effects. And so far, we're pleased to see the degree of solidness that we're observing. I'll always want more. I'm always asking sales and Chris and anybody else who I can get a few moments with that we'd love to see additional selling into our existing base and for that matter, more logo acquisitions. So we will advance on all fronts to the best of our ability this year. We're not writing anything off, we're not giving up on new customers, we're not deprioritizing growth. Now we're assigning our full attention to each of these priorities. But in the meantime, the main result we have to look at is a relatively satisfying steadiness.
Operator: And our next question comes from Andrew DeGasperi from Berenberg.
Andrew DeGasperi: Maybe on the first one, it's like a high-level question. As you've been transitioning to partners for implementing Appian, have you noticed the time lines to implement the product in going live shortened during this time? Are you seeing evidence of that?
Matthew Calkins: I would say it's steady. Our go-live times have been consistent.
Andrew DeGasperi: Great. And then maybe on -- in terms of the AI commentary you just made, it sounds if you kind of believe it's more tight right now. But in terms of what it will do for Appian in terms of the potential for revenue expansion and things like that, what do you think a reasonable time line is that you would see to materialize that?
Matthew Calkins: Well, revenue follows hype. So actually, you don't need to have -- you don't need to wait until people figure out where AI belongs in the stack before they start writing checks. I think that we're going through a year or 2 now where people will imagine that AI belongs making decisions. And so there'll be talk about how maybe AI should write your next process or this sort of thing. And I think our position is going to be AI can show real value as an adviser, an appraiser, contributor but not the author and not the decider. I think we're going to have to educate people on that. Fortunately, we're going to be able to show a lot of value add. A lot of -- I mean, this is what's missing for all these hype stories these days with AI. It's incredible what they can do, what the drawings they can make, what papers they can write. But what they're not doing is lowering your electricity bill, right? What you're not hearing is AI helped our economics. And so we can actually show that, right? That's what our AI does. It helps the economics. So we're going to be coming up with tangible stories, and I think that they will carry the day even in the face of some hyperbole.
Operator: And our next question comes from Frederick Havemeyer from Appian [ph].
Frederick Havemeyer: I don't work at Appian, I just cover it. I'm from Macquarie. Haven't shot my resume to you guys yet. So firstly, actually speaking resumes, last quarter, we were talking about your cadence of hiring and hiring ahead of plan. I just wanted to check in on the hires that have been made throughout the year. And as you're thinking also about cautious rather the terminology just really prioritizing prudent growth and investment at the same time. But really, how have the ramping -- how the reps and those that were hired last quarter have been ramping since that extended hiring period?
Matthew Calkins: It's early to say because we can't expect an account executive to have made any quantifiable results in that period. So while I can say that I believe that our talent actualization and our training system and our coaching and so on models are better than before. I can't point you to any results. So I believe that will turn out to have been a good investment. I cannot quantify my reasons for that today.
Frederick Havemeyer: Okay. And then stepping back, rather than, I suppose, the typical financial analyst questions, Matt, I really wanted to ask, as we're thinking about investment into Appian, we're thinking about next year being another investment year. I want to just ask really bigger picture here. As you have like assembled this entire platform, it's a full stack automation platform, a low-code platform, what is your longer-term vision, goal and dream for Appian as you're investing into it? Could you just walk us through that at the highest level, and where you would really like to be taking the company?
Matthew Calkins: Yes. Love the question, by the way. Appian is supposed to empower people in their relationships with software and technology. It's also supposed to empower organizations. It should empower people by allowing us to control and direct and collaborate with technology more efficiently. And it should empower organizations to be able to express their personality and their behavior by pivoting quickly from one process to another, by changing their process essentially, to keep up with times and move at human speed. So that's our bigger mission of the kind of economic impact we'd like to have with this organization. And we see ourselves as a pioneer in this space, inventing the means by which those goals can be achieved. So even if some of the implementation is done by others, we're still proud to be innovating the state of the art.
Operator: [Operator Instructions]. And our next question comes from Steve Koenig from SMBC Nikko Securities.
Steven Koenig: It's Steve Koenig. And congrats on the steady performance. And also, since this is my first time getting to speak on your call, I'll just mention that SMBC is a very happy Appian customer. I want to ask you -- so your position regarding investing for growth is clear, and we understand there's a trade-off between growth and profitability. If we think about that trade-off in terms of your Rule-of-40 score, I'm wondering how can Appian improve the overall trade-off? Or is that even possible?
Matthew Calkins: Yes, it's absolutely possible. It's a great question. We think about it a lot. It's absolutely possible. We invest in some things which will not manifest in our Rule-of-40 score for some time. We have a substantial investment in R&D, for example. We're innovating the space. We make acquisitions in technology that turn up in our product years later. I don't guide the organization using Rule of 40 centrally. That said, I believe that there are some parts of our efficiency, which are correctly diagnosed and improvable by a Rule-of-40 perspective. For example, looking at the organization, I'd like to see a higher efficiency in the way we convert investments in, say, go-to-market into successful new revenue. I believe we can improve our efficiency, and we're very cognizant of where efficiency is great and where it's not great. And so we introspect and we have lists of things that we want to get better. So we're a growing organization. We're pioneering a new trail. We're inventing technology that's going to be the spear tip of a leading market. And at the same time, we're inventing this organization and how you make this case and how you get it to customers, and we can always get better.
Mark Matheos: Yes. And I'll just add a little bit to that. I think one thing that we're doing is looking at the cost side, as Matt said, trying to find efficiencies everywhere, even in R&D. The tech development center in Chennai, India is part of that strategy. And at the end of the day, when we have a healthy, consistent growth rate, which we've been able to demonstrate, combined with that efficiency on the cost side, the result will be towards that Rule of 40, even though we're not centrally forcing that as a matter of practice.
Operator: And I am showing no further questions. I would now -- this concludes today's conference call. Thank you for participating. You may disconnect.